Operator: Good morning, my name is David and I’ll be your conference operator today. At this time I’d like to welcome everyone to the FuelCell Energy’s First Quarter 2023 Financial Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks there will be a question-and-answer session. [Operator Instructions]  Thank you, Tom Gelston, Senior Vice President of Finance and Investor Relations. You may begin your conference.
Tom Gelston: Thank you, and good morning, everyone, and thank you for joining us on today’s call. As a reminder, this call is being recorded. This morning FuelCell Energy released our financial results for the first quarter of 2023, and our earnings press release and our annual report on Form 10-K are available in the Investors section of our website at www.fuelcellenergy.com. Consistent with our practice, in addition to this call and our earnings press release, we have posted a slide presentation on our website. This webcast is being recorded and will be available for replay on our website approximately two hours after we conclude the call. Before we begin, please note that some of the information that you will hear or be provided with today will consist of forward-looking statements within the meaning of the Securities and Exchange Commission Act of 1934. Such statements express our expectations, beliefs and intentions regarding the future and include without limitation: statements with respect to our anticipated financial results, our plans and expectations regarding the continuing development, commercialization, and financing of our FuelCell technology and our business plans and strategies. Our actual future results could differ materially from those described in or implied by such forward-looking statements because of a number of risks and uncertainties. More information regarding such risks and uncertainties is available in the Safe Harbor statement, in the slide presentation and in our filings with the Securities and Exchange Commission, particularly the Risk Factors section of our most recently filed annual report on Form 10-K and subsequently filed quarterly report on Form 10-Q. During the course of this call, we will be discussing certain non-GAAP financial measures. And we refer you to our website and to our earnings press release and the appendix of the slide presentation for the reconciliation of those measures to GAAP financial measures. Our earnings press release and a copy of today’s webcast presentation are available on our website at www.fuelcellenergy.com under Investors. For our call today I am joined by Jason Few, FuelCell Energy’s President and Chief Executive Officer; and Mike Bishop, our Executive Vice President and Chief Financial Officer. Following our prepared remarks, we will be available to take your questions and be joined by other members of the leadership team. I will now hand the call over to Jason for opening remarks. Jason?
Jason Few: Thank you, Tom, and good morning everyone. Thank you for joining us on our call today. Since we met in December, we have achieved some exciting milestones on our journey to enable the world to be empowered by clean energy. Today, we announced strong quarterly results as we continue to execute on our Powerhouse business strategy. Before getting into the business results, I always like to give an overview of FuelCell Energy on Slide 3 for anyone who might be new to the FuelCell Energy story. An operation for over 50 years, FuelCell Energy is a leader in developing stationary FuelCell Energy platforms. Our purpose is to enable a world empowered by clean energy. We are currently in the early stages of a global energy transition to a low carbon future. We believe FuelCell Energy is well positioned to be part of the global solution by assisting customers on a safe, secure, and practical path to net carbon-zero. This important purpose drives our strategic focus and our passion for our work. Our goal is to leverage our proprietary FuelCell Technology platforms to decarbonize power and produce hydrogen. Our platforms operate in North America, Asia, and Europe, and we are focused on entering more markets around the world. We have 95 platform installations and commercial operation, which we believe demonstrate the commercial feasibility of our energy platforms. Next, let’s turn to a few key highlights for this quarter shown on Slide 4. First, we are continuing to make consistent operational progress on key projects. Our project with Toyota in Long Beach, California, our project in Derby, Connecticut, and our carbon capture joint development agreement with ExxonMobil Technology and Engineering Company are progressing well. I will provide more detail updates on these three projects later in the presentation. Importantly, as I previously stated, as of January 1, 2023, we are no longer restricted from directly serving all customers in Korea, including legacy customers that were previously solely serviced by Korea Fuel Cell Company and or POSCO Energy Company. This represents approximately 116 megawatts of module upgrade opportunities. We are continuing to scale our commercial organization in Korea as we work to further develop our pipeline in Korea and other Asian markets. Second, having just recently announced in December that we are now accepting orders for our solid oxide platform for both power generation and hydrogen electrolysis applications. We are focused on expanding our solid oxide manufacturing capacity. We have strong experienced leadership, energizing our commercial and operational efforts, and we expect to build and deliver four units during calendar year 2023, including two units that will run internally for advanced testing and two first article production units for delivery externally. I will discuss our progress on solid oxide in more detail later in the presentation. In addition, after the quarter end, we were proud to announce our intent to collaborate with a subsidiary of Malaysian Marine and Heavy Engineering Holdings Berhad or MMHE, a Petronas company on the development of a large scale electrolyzer facility for the Asian, New Zealand and Australian markets. Through this collaboration, we expect to increase the efficiency of green hydrogen production while also reducing the costs with the goal of making large scale clean hydrogen production, an easily accessible and viable energy option. Third, we are opportunistically evaluating potential options to benefit from global policy tailwinds. We believe the enacted policies are stable and the proposed global policies appear to have strong support and that we are well positioned to capitalize on the evolving energy landscape. Recent global support for clean energy includes the U.S. Inflation Reduction Act and the Infrastructure Investment in Jobs Act totaling approximately $479 billion, Canada’s proposed hydrogen tax credit, the European Union’s proposed approximately $270 billion program that would offer tax breaks for businesses investing in net-zero technology and the Korean Hydrogen Economy Roadmap. We believe that these types of policies will support and drive increase in demand for clean energy technologies. We believe that FuelCell Energy and our future customers of FuelCell Technology will be able to benefit from these types of policies by taking advantage of investment tax credits, production tax credits for clean power and hydrogen, and carbon capture utilization and sequestration credits. Lastly, I would note that we were proud to host Senator Richard Blumenthal on his recent visit to our manufacturing facility in Torrington, Connecticut where we discussed the importance of our planned electrolysis project in Ukraine. Senator Blumenthal has made multiple trips to Ukraine and is supportive of our work with the U.S. State Department. We thank Senator Blumenthal for his long-standing support of FuelCell Energy and his support of investments in clean energy. And now I will turn the call over to Mike to discuss the financial results for the first quarter in more detail. Mike?
Mike Bishop: Thank you, Jason, and good morning to everyone on the call today. Now that you’ve heard from Jason, I will provide some additional details regarding our financial results. Please turn to Slide 6. For the first quarter of fiscal year 2023, we reported total revenues of $37.1 million compared to $31.8 million in the first quarter of fiscal year 2022, an increase of 17%. Net loss was $21.1 million in the first quarter of fiscal year 2023 compared to net loss of $46.1 million in the first quarter of fiscal year 2022. The first quarter of fiscal year 2022 was impacted by the $24 million of non-recurring legal expense associated with the settlement of the company’s disputes with POSCO Energy and Korea Fuel Cell Company or KFC. The resulting net loss per share attributable to common stockholders in the first quarter of fiscal year 2023 was negative $0.05 compared to negative $0.11 in the first quarter of fiscal year 2022. The lower net loss per common share is primarily due to the lower net loss attributable to common stockholders and the higher number of weighted average shares outstanding due to share issuances since January 31, 2022. Adjusted EBITDA totaled negative $14.4 million in the first quarter of fiscal year 2023 compared to adjusted EBITDA of negative $13.6 million in the first quarter of fiscal year 2022. Please see the discussion of non-GAAP financial measures including adjusted EBITDA in the appendix at the end of our earnings release. Finally, the company has a strong total cash and short-term investment position at over $415 million as of January 31, 2023. Next, please turn to Slide 7 for additional details on our financial performance and backlog. The chart on the left hand side graphically shows revenue drivers by category. Product revenues for Q1 2023 were $9.1 million compared to $18 million for the three months ended January 31, 2022. The Q1 2023 revenues were driven by the company’s December, 2021 settlement agreement with POSCO Energy and its subsidiary KFC that included an option to purchase an additional 14 modules. This option included a material right related to an extended warranty obligation for the modules. The option was not exercised by KFC as of the expiration date on December 31, 2022, and as a result, the company recognized $9.1 million of product revenues, which represents consideration allocated to the material right if the option had been exercised. Product revenues for the three months ended January 31, 2022 were a result of the module sales to KFC under the settlement agreement for which the company recognized $18 million on the Ex Works delivery of six modules from the company’s facility in Torrington, Connecticut. Service agreements revenues increased to $13.9 million for the first quarter of fiscal year 2023 from $2.2 million in Q1 2022. Service agreements revenues during the first quarter of fiscal year 2023 were primarily driven by new module exchanges at the plant in Woodbridge, Connecticut, which originally achieved commercial operations in fiscal year 2017, and at the plants owned by Korea Southern Power Company or KOSPO in Korea, which achieved commercial operations in fiscal year 2018. Both the Woodbridge, Connecticut and KOSPO platforms contained our five-year stack modules. The increase in revenues for the first quarter of fiscal year 2023 is primarily due to the fact that new module exchanges occurred during the quarter, while there were no new module exchanges during the comparable prior year quarter. Generation revenues increased to $9.6 million from $7.5 million, primarily due to the fact that we recorded a full quarter of generation revenues associated with the Long Island Power Authority project in Yaphank, New York, which achieved commercial operations in December 2021 and the fact that the project at the U.S. Navy Submarine Base in Groton, Connecticut or the Groton Project achieved commercial operations and began generating revenues in the first quarter of fiscal 2023. Advanced Technology contract revenues increased to $4.5 million from $4.1 million. Compared to the first quarter of fiscal year 2022, Advanced Technology contract revenues recognized under the Joint Development Agreement with ExxonMobil Technology and Engineering Company were approximately $0.1 million higher during the first quarter of fiscal year 2023, and revenue recognized under government and other contracts were approximately $0.3 million higher than the prior year quarter. Looking in the top right hand side of the slide, I will walk through the changes in gross profit and operating expenses. Gross profit for the first quarter of fiscal year 2023 totaled $5.2 million, compared to a gross loss of $2.9 million in the comparable prior year quarter. The gross profit is a direct result of favorable product margins as the revenue recognized in the first quarter of fiscal year 2023 had no corresponding costs, along with lower manufacturing variances compared to Q1 2022. In the first quarter of fiscal year 2023, the company also realized higher service margins due to new module exchanges occurring in the quarter, offset by lower generation margins primarily due to $7.1 million of non-recoverable costs related to construction of the Toyota project. Operating expenses for the first quarter of fiscal year 2023 decreased to $27.7 million from $41.9 million in the first quarter of fiscal year 2022. Administrative and selling expenses in the first quarter of fiscal year 2022 included non-recurring legal expenses of $24 million associated with the settlement of the company’s disputes with POSCO Energy and KFC. Excluding the $24 million in legal fees, administrative and selling expenses were higher during the first quarter of fiscal 2023 primarily due to an increase in compensation expense resulting from an increase in headcount. Research and development expenses of $12.7 million during the first quarter of fiscal year 2023 reflects an increase in spending on the company’s ongoing commercial development efforts related to our solid oxide platform and carbon capture solutions compared to the comparable prior year period. On the bottom right of the slide, you’ll see that we finished the quarter with a backlog of approximately $1.1 billion a decrease of 19% compared to January 31, 2022. The primary driver was a reduction in generation backlog due to the previously announced decision in the fourth quarter of fiscal year 2022, not to move forward with the development of the two Hartford projects given their economic profiles. The reduction was also due in part to revenue recognition since January 31, 2022. On Slide 8 is an update on our liquidity and our ongoing investment in project assets. As of January 31, 2023, we had total cash, restricted cash, cash equivalents and short term investments of approximately $415.4 million. This total includes approximately $315.2 million of unrestricted cash and cash equivalents represented by the darker blue bar on the chart in the center of the slide, $24.6 million of restricted cash and cash equivalents represented by the lighter blue bar and $75.7 million of short term investments represented by the purple bar. The short term investments are U.S. Treasury Securities purchased by the company during the first quarter of fiscal year 2023 as part of the company’s cash management optimization effort. Looking at the right hand side of the slide, there is a chart illustrating our total project assets, which make up our company owned generation portfolio. We intend to continue to develop, construct, and grow our portfolio of assets with a clear focus on only those projects that will drive long-term value to FuelCell Energy and our shareholders. Investments to date reflect capital spent on completed operating projects as well as capital spent on projects currently in development and under construction. As of January 31, 2023, our gross project assets totaled approximately $263.3 million, which excludes accumulated depreciation. As detailed on Slide 18, in the appendix of this presentation, our generation portfolio totaled 63.1 megawatts of assets as of January 31, 2023. This includes 43.7 megawatts of operating assets and 19.4 megawatts of projects and process. Projects and process begin commercial operation, they are expected to contribute higher generation revenue. Additionally, as these projects in process reach mechanical completion or achieve commercial operation, we expect to seek additional tax equity financing as well as long-term back leverage debt transactions to further reinvest capital back into the business. In summary, I am pleased with the progress made this quarter in executing on our operating and commercialization plans. I will now turn the call back to Jason.
Jason Few: Thanks, Mike. Turning to Slide 10, I would like to reemphasize again the tenants of our Powerhouse business strategy, which serves as our guiding strategy toward achieving long-term growth. The first tenant is growth. We are working to optimize our business for achieving growth in markets where we see significant opportunity for the clean energy applications our platform technologies address. The second is scale. We plan to scale our existing platforms by investing in and extending the application solutions our platforms address and deepening our leadership and total human capital across the organization. Across our operations, we are making progress in expanding manufacturing capacity for our molten carbonate platform with the goal of achieving 100 megawatts of annualized integrated onsite manufacturing and conditioning capacity. We’re currently in the process of expanding our Calgary manufacturing facility and we also have developed plans to add an incremental 400 megawatts of solid oxide manufacturing capacity in the United States. We believe that our DVD size solid oxide cells lends itself to a modular buildout of manufacturing capacity and advanced robotics manufacturing for rapid scaling as more large scale hydrogen projects achieve FID and long-term off-take agreements. And third innovate, over our 50-year history, we have never stopped innovating. We believe our platform technologies and our culture will provide the opportunity for us to add to our significant global patent portfolio and increase our participation in the growth of the hydrogen economy and carbon capture markets, and will enable us to deliver on our purpose. We plan to develop diversified revenue streams by delivering a range of solutions and services anchored by our multi feature platforms that support decarbonization applications and the global energy transition. As we are growing, I would like to highlight the progress we are making on three important decarbonization, energy resiliency and energy reliability platform projects on Slide 11. First, our Toyota project in Long Beach, California. This is a tri-generation platform, which will reform directed renewable natural gas into three value streams, delivering carbon neutral hydrogen, carbon neutral electricity, and ultra clean produced water. We expect that it will be the first commercial distributed hydrogen generation project in United States, dedicated to light and heavy duty fuel cell electric vehicle transportation. We have completed the construction work on this tri-generation project and the fuel cell platform has advanced to the commissioning phase of project development. We anticipate that the remaining commissioning activity will be completed in the third fiscal quarter of 2023. We are also pleased to host representatives of the U.S. Department of Energy and Commerce on a recent visit to the site. We very much appreciate the continued support of those departments and other government agencies that are helping to further the development and growth of clean energy in the United States, which we believe will aid in our goal of selling our technology around the world and support of global decarbonization goals. At our Derby project in Connecticut, onsite civil construction continues to advance. We have largely completed the foundational construction with the majority of the balance of plant components delivered and installed on site. We continue to work with the utility customer, United Illuminating an Avangrid, Iberdrola company on the interconnection process, the timing of which will drive the continued development of the site, including the delivery of the 10 fuel cell modules required to complete the project. This large 14 megawatt installation will be the second largest installed fuel cell platform in the United States only surpassed by our 15 megawatt platform in Bridgeport, Connecticut, and when completed, we’ll provide enhanced grid resiliency, reliability, and low carbon power to the Connecticut power grid while generating renewable energy credits. We expect commercial operations to begin in the fourth calendar quarter of 2023. Thirdly, we are continuing to progress toward commercialization of our advanced technologies for carbon capture. Under our joint development agreement with ExxonMobil Technology and Engineering Company, we recently completed a joint marketing study, which confirmed technical fit, evaluated economical assessment, current and prospective customer feedback, reviewed the manufacturing scallop plan and validated market signposts. Together, we are working to identify partners for commercial trials or demonstration projects as we pursue carbon capture across a broad landscape of industrial applications. In addition to a potentially diverse industrial market ranging from refining, chemicals, iron and steel, pulp and paper, food, beverage and more, we believe that the unique ability of our platform to naturally destroy NOx contained in the external carbon fuel stream will be highly desirable. As previously announced in December, we extended the terms of our joint development agreement through August 31, 2023, and we increased the research budget by 20% from $50 million to $60 million. This important long-term relationship supports our efforts to commercialize large scale fuel cell carbon capture and storage technology, and we believe that this is the only existing technology capable of capturing carbon, producing power, destroying NOx, and in the same application generate hydrogen all at the same time from a single platform. As we work to expand our solid oxide manufacturing capabilities, I would like to start by highlighting FuelCell Energy’s key leaders in this area. John Torrance is our Senior Vice President, Chief Commercialization and Solid Oxide Manufacturing Officer. John joined FuelCell Energy in June of last year with a focus on manufacturing and his role was expanded in December to include platform commercialization responsibilities. John brings over 25 years of experience in this role and with his extensive knowledge of manufacturing and operations management, including plant startups and his long history in the fuel cell and hydrogen industry, we believe that we have the right leadership in place to drive and execute our ambitious growth plans. In support of expected future production requirements, we are expanding our facility in Calgary, Canada with additional dedicated manufacturing space as part of the first phase of our plan to increase solid oxide manufacturing capacity. This Phase 1 expansion is expected to increase our production capacity from the current 4 megawatts per year to 40 megawatts per year of solid oxide electrolyzers. We also have planned to add an additional 400 megawatts of solid oxide manufacturing capacity in the United States. While the location of the facility has not yet been determined, early facility design and engineering requirements have been developed. We anticipate announcing more details regarding our plans for solid oxide production expansion in the United States later this fiscal year. Lastly, I would like to highlight the specific advantages of FuelCell Energy, solid oxide fuel cell, and solid oxide electrolyzer cell technologies. Our technologies offer fuel flexibility, efficiency, reliability, and a small footprint for easy co-location. Our smallest sub megawatt solid oxide fuel cell platform will generate 250 kilowatts of reliable, efficient, and ultra clean power with virtually no nitrogen oxide, sulfur oxides, and particular matter emissions regardless of feedstock. The fuel flexible system is capable of running on natural gas, renewable biogas, or a 100% hydrogen and is expected to operate at higher efficiency than combustion based power generation alternatives. The clean emissions profile, small footprint and quiet operation makes this platform easy to site in urban areas. On the hydrogen production side, we believe solid oxide presents one of the best opportunities to minimize overall costs while maximizing efficiency and that our platform will give more organizations the option to implement a flexible energy strategy because most of the costs of hydrogen produced by electrolysis is related to the cost of input power, efficiency is one of the most effective ways to lower hydrogen costs, and we believe FuelCell Energy’s solid oxide platform is among the most efficient electrolysis technologies available. Among competing technologies, we believe our solid oxide platform offers one of the best chances of achieving the Earth shot target of $1 per kilogram levelized cost of energy targeted by the U.S. Department of Energy by 2050. Our platform also has the ability to ramp up quickly, transitioning from standby to full load in just 10 minutes, working in tandem with renewable technologies such as wind and solar. Our solid oxide electrolysis platform offers the possibility of efficiently storing electricity as hydrogen for later use. In addition, we believe our high temperature solid oxide electrolysis technology is particularly well positioned to capitalize on opportunities to leverage nuclear generated electricity for the production of zero carbon hydrogen. Leveraging baseload nuclear electricity, large amounts of hydrogen can be efficiently generated, stored, transported and are utilized for fuel switching or for a number of other applications. I want to take a few seconds to outline why solid oxide, high temperature electrolysis is one of the most efficient electrolysis technology options. The core difference is driven by steam and liquid water thermodynamics. The electrolysis of liquid water used by lower temperature electrolysis such as PEM and Alkaline requires more energy than electrolysis of steam in our solid oxide high temperature platform. Our high temperature solid oxide electrolyzer operates at a significantly higher efficiency than lower temperature systems, even accounting for the energy needed to make steam from water. Our system operates at about 90% higher heating value, electrical efficiency, and if a source of waste heat is available to support steam generation is capable of a 100% electrical efficiency. We believe that this gives solid oxide a significant advantage over lower temperature PEM and Alkaline technologies. Before moving to Q&A, I will conclude my prepared remarks with some takeaways on slide 13. I am increasingly excited about the trajectory our company is on as our innovative technologies are progressing toward commercialization and having an even more positive impact on our world. I would highlight the following four enablers of that anticipated ramp up. One, we have a strong balance sheet and we have demonstrated discipline in the allocation of capital toward growth, which we believe positions us to continue to fund projects and development as well as platform commercialization activities to execute on our growth strategy supported by a large global total available market. Two, we’re working to expand our solid oxide manufacturing capacity to support expected future market opportunities including growth in distributed power generation and the hydrogen economy. We believe that these investments will support our ability to capture market opportunities for sub megawatt power generation and high efficiency electrolysis products. Three, we are making consistent operational progress, executing on our large projects for our customers and providing the capabilities of our technologies. And four globally, policies to support the energy transition have been enacted and more policies in more locations around the world are gaining momentum as evidenced by the passage of the Inflation Reduction Act in the United States, as well as efforts we are seeing internationally in Europe, Canada, and Korea, and we believe we are well positioned to benefit from these tailwinds. We believe our technologies have a critical role to play in transitioning to a low carbon future. We are delivering for our customers, we’re increasing our capacity, and we are preparing for the commercialization of our new technologies and extending the value streams delivered from our existing technology platforms. We believe FuelCell Energy is well positioned to capture market opportunities over the coming years. I also want to take a moment to honor the many talented and diverse women that work at FuelCell Energy and the four women who serve on our board of directors. At FuelCell Energy, we are proud of the contributions made by women all across our company, including in areas such as engineering, finance, sales, and manufacturing. I also want to thank the many contributions made by women around the world who, like we do at FuelCell Energy, live their lives with purpose. Thank you. And I will now turn it over to the operator to begin Q&A.
Operator: Thank you. [Operator Instructions] We’ll take our first question from Manav Gupta with UBS. Your line is now open. 
Manav Gupta: I’m very happy for you guys. My question here is specifically related to the Toyota, Port of Long Beach project, if we can get a little more details, and the reason I’m asking this question is your press release says that for, if any, for any reason the operations are not commercial by 8th of July, there is some possibility that Toyota could walk away from this. I’m just trying to understand, can you mitigate that risk? Can you just talk through that, how you can avoid that situation?
Michael Lisowski: Thank you, Manav. This is Michael Lisowski, Chief Operating Officer with FuelCell Energy and thank you for your question. We’re quite proud of the advancements in progress that we have been making on the Toyota project, and as previously reported, we have completed the mechanical construction aspects of the plant and are now engaged in focused on the commissioning aspects. The contract for with Toyota does have a provision that July 8 is a contractual date. However, Toyota is quite pleased with the progress of the plant. We’re working very, very in the progress of, in advancements of construction. They’re quite pleased with, with the work that we have been doing and we’re working very, very collaboratively with Toyota as we work to execute the remaining aspects of project execution towards commercialization. We have great confidence in our ability to achieve commercial operations and that we’ll be doing that in the timeframe that we’ve stated by our fourth excuse me, our third calendar quarter this year, fiscal quarter this year. 
Manav Gupta: Perfect. Second follow-up is, can I go back to the February 16th release of your collaboration with MHP? Can you talk a little more bit more about this collaboration? Help us quantify some of the benefits of this deal, probably two or three or four years down the line and why this deal is important for you? Thank you.
Jason Few: Hi, Manav. This Jason Few, really appreciate that question. We believe very strongly that one of the things that has to happen to achieve, the global goals that we have around decarbonization is large scale hydrogen. When you think about MMHE and not only MMHE, but also the parent company of MMHE being Petronas and the ability to establish a partnership in Asia that gives us the ability to implement large scale hydrogen projects with a partner who has proven capabilities in delivering large projects. It’s a really important collaboration for us, and we think that around the world, partnerships are going to play an important role in really delivering projects that require infrastructure and that will deliver large scale benefits to, customers in that part of the world. And so for us, having a partnership with someone like MMHE delivers significant value.
Manav Gupta: Thank you for answering those and congrats on a good quarter.
Jason Few: Thank you.
Operator: Okay. Next we’ll go to George Gianarikas with Canaccord Genuity. Please go ahead.
George Gianarikas: Hey good morning everyone. Thanks for taking my questions. So just a couple. First, I’d like to focus on the Inflation Reduction Act and potential other measures across the world really, when – what kind of conversations are you having? What has – what have these government initiatives done to the conversations and the backlog? And I’m just curious if you can help us quantify how you expect momentum to kind of build this year and into next year?
Jason Few: George, good morning and thank you for that question. We are, as a company, we’re very, optimistic about what’s happening with the IRA and with other programs around the world as more governments look to find ways to basically, what I would call, replay what happened with wind and solar, how do you create incentives that help companies like our scale and rapidly bring down costs to meet the market demand for the energy transition? So when you think about IRA and in the U.S. and then you add to that also the infrastructure package. I mean, you’re over $400 billion of capital that’s going to be allocated to really advance projects around hydrogen and carbon capture, grid resiliency and reliability. And so for us, those programs represent a great opportunity for us to enhance the value proposition that we offer our customers given those incentives, it also creates an opportunity for us to make investment as well as to leverage those programs to aid our investment in things like scaling manufacturing. And so we’re seeing, a lot of positive reaction from customers. We like everyone else anxiously awaiting, their Treasury Department to finalize all the rules so we can really begin to fully take advantage of the IRA. But we see lots of interest and excitement around it.
George Gianarikas: And maybe as a follow-up, just on the product revenue, just to make sure that we understand it, you recognized $9.1 million this quarter as, and this is your impression as if the option had been exercised. So it appears that there was no – cost associated with that revenue exits [ph], do you expect to recognize the cost of any potential module sales in the future, is the first question. Second, has this changed the overall opportunity you see with POSCO over the next few years or is this just kind of part of that overall, several $100 million opportunity for the next, I think it’s a 2025 or 2026. Thank you.
Mike Bishop: Good morning George. This is Mike. Yes, I’ll take those questions. So on the first question regarding the revenue recognized in the quarter, that was revenue that the company had to had deferred, it was tied to an option agreement that POSCO could potentially exercise, and it was essentially a material right, related to a long-term warranty. That option agreement expired at the end of December, so as a result, recognized the revenue in this quarter. There was no cost tied to that revenue, and there will be no cost tied to that revenue in the future related to future modular replacements. As far as the opportunity in Korea, as Jason said in his opening remarks, significant opportunity in Korea, just with the installed base, there’s greater than 110 megawatts of opportunities to essentially replace modules for the existing fleet in Korea. And as we said in our remarks in the last quarter and this quarter as well, we’re actively targeting that opportunity now in Korea. Our sales folks are in Korea. We and under our settlement agreement with POSCO, we can now work directly with those end customers. So very excited about that opportunity, that’s right in front of us.
George Gianarikas: Thank you.
Operator: Thank you. Next we’ll go to Jeff Osborne with TD Cowen. Your line is now open.
Jeff Osborne: Hey, good morning. I just wanted to follow-up also on Korea. The 116 megawatts, how many of those were sold, more than five years ago? Do you have a sense of sort of the vintages of those and what should be coming up for replacement here? If I was a bit surprised given you’ve had the sales force out there, I think for 18 months or so that the product backlog now has been worked down as zero and there was nothing, no movement there.
Michael Lisowski: Jeff, good morning and thank you for the question. This is Mike Lisowski. So of the installed base that, that we’re referring to all of the technology and pedigree and generation of platform there is the five year technology. So we do expect, strong line of sight to the replacement of that equipment and those assets to restore power generation at each of those critical customer infrastructure sites.
Jeff Osborne: Maybe just another way of asking the question is, what percentage the 116 megawatts is older than five years?
Mike Bishop: Jeff, this is Mike Bishop, so we haven’t put out that level of granularity, but if you look at it, kind of the, the units that have been installed in the past, it has been over the last, 10 to seven to three year period. So, you would expect to see module replacements coming up here soon, but the exact timing around that, we have not put that out there.
Jeff Osborne: And just to be clear, Mike, that would flow through the product backlog as those orders come in?
Mike Bishop: Yes. So the, so, and just to back up a little bit, the $60 million that we recognized last year, that was a sale direct from KFC, subsidiary a POSCO. When we booked that order, it came through product backlog. And as we ship those modules recognized through product revenue. The same will be true as we work directly with customers. Those orders would come through product backlog more than likely, and then get recognized as product revenue. There is potentially an opportunity to do service as well, but the way that we’re initially thinking about this is product backlog.
Jeff Osborne: Makes sense. And just that one last line of question on the 400 megawatt facility. I know it’s early, but can you remind me of what the, the expenditure was to go from 40 [ph], or sorry, four to 40? Is there like a rule of thumb of, current CapEx per megawatt trends in, any expectations on how much that facility in the U.S. would cost?
John Torrance: Thank you for that question. This is John Torrance. We are investing approximately $45 million to expand for that first 40 megawatts. We do anticipate some of that involves some infrastructure related to testing in our product development, which we would not replicate as part of a 400 megawatt manufacturing only facility. We also expect as we continue to progress on our manufacturing readiness, that we will optimize our processes and decrease our capital costs per megawatt of manufacturing capacity. Somewhere, without getting too far ahead, we would expect somewhere in the 25% to 30% reduction as we go up in orders of magnitude. But that has yet to be fully verified.
Jeff Osborne: So horseshoes and hand grenades number, maybe like $250 million to $300 million or 400 megawatts does that…
Mike Bishop: Sound, we’ve got about a $250 million [ph], 250 numbers, a walking around number at this point based on preliminary designs on the envelope that we’re looking at.
Jeff Osborne: Perfect. That’s all I have. Thank you.
Jason Few: Thank you.
Tom Gelston: David, do we have the next question?
Operator: And sorry about that. We’ll take our next question from Eric Stine with Craig-Hallum.
Eric Stine: Good morning everyone.
Jason Few: Good morning, Eric. How are you?
Eric Stine: Hey, doing well, thanks. So maybe just on ExxonMobil obviously extended and expanded the amount allocated to the JDA, maybe, how do we think about potential next steps for the long discussed pilot project in Rotterdam? Is that something where those two are kind of separate things? Or is it fair to assume that you would need to see the joint development that process play out, come to completion before, they might think about moving forward with a pilot project?
Jason Few: Eric, thank you for that. You can think about it as a continuum, right? Part of what we’ve been doing in the initial work with Exxon is really optimizing the technology around two core aspects. One is what we refer to as carbonate transfer, and the other one is just in terms of power density. Proving that out through the work that we’re doing, through the R&D effort has always been a part of demonstrating the capability and then getting alignment with Exxon on the demonstration project. Those two things are tied together. We are very comfortable in the progress that we’ve shown. As you know, last year we hit, milestone payments that we achieve around the technology demonstration. So, we would expect that Exxon through their process, which we do – which we don’t control their process, is trending in the right direction relative toward moving to that demonstration project. One of the things that you might also consider when you think about a facility like Rotterdam, timing of that is also tied to how they might think about their plans around turnover service or other things that they might be doing at the facility to allow time to implement the demonstration. So there’s factors that are going to drive timeline that go beyond just our technology capabilities.
Eric Stine: Understood. So don’t – no one should read into timelines specific things. I mean, there’s a lot of factors that go into that. That’s helpful. Maybe, a lot of questions have been answered, but maybe just on OpEx, I think last quarter you might have given some, might have given some details that would’ve indicated a higher OpEx level, in this quarter it was not a meaningful sequential uptick. So how should we think about OpEx going forward?
Mike Bishop: Good morning, Eric. This is Mike. I’ll take that question. So, what we have put out there around a portion of operating expenses is that for fiscal 2023, we expect company funded R&D expenses to be in the $50 million to $70 million range. And if you just kind of run out where R&D is, in our first quarter, we should be in that range. We have not put out specific guidance around SG&A, but you have seen a tick up over the prior year anyways as we’ve been adding folks on the sales side as we grow our global reach. So that’s how I would answer that question, Eric.
Eric Stine: Okay. Thank you.
Operator: Thank you. Next, we’ll go to Ryan Pfingst with B. Riley. Your line is now open.
Ryan Pfingst: Hey guys, maybe following up on the EMTEC contract going up $10 million here, is that a reflection of higher costs on your end? Or are you guys increasing the scope of what you’re doing with those guys?
Mike Bishop: Good morning. I’ll take that question. This is Mike. So no, that’s really a function of additional time being added to that contract recall. We extended the contract with ExxonMobil EMTEC to bring us into the summer timeframe. So it’s really adding additional time to it.
Ryan Pfingst: Got it. And then turning to the Toyota project for the $7.1 million of non-recoverable costs, can you just talk about what’s included there? And do you expect any similar types of costs before we potentially reach commercial operation this summer?
Mike Bishop: This is Mike again. I’ll take that one as well. So, what’s in that number and you’ve seen this over the last several quarters. As the company has been building out the project at Toyota. We have essentially been expensing the portion of the construction costs that we wouldn’t otherwise be able to recover by potentially, redeploying assets somewhere else. Although this is a long-term asset, basically because we have not locked in the underlying fuel agreement. So not able to perfectly estimate the project economics in the future. You will see this trail off, as we said in our earlier remarks that we are in the commissioning period now. So the construction activity will trail off here over the next several quarters.
Ryan Pfingst: That’s helpful. Thanks guys. I’ll turn it back.
Operator: Next we’ll go to a Noel Parks with Touhy Brothers. Your line is open.
Noel Parks: Hi, good morning.
Jason Few: Good morning, Noel.
Noel Parks: Hi. Just a couple things. I was wondering if you could talk about with the capacity expansions, the cost today or those still forecasted is there in inflation impact beyond sort of your original estimates for those. I didn’t know, if any of the aspects of those were sort of contracted pre-COVID or during the slump from shutdowns? So I was just curious kind of where things stand as far as cost you’re expecting now versus where you started?
Jason Few: I think you can take our view on cost right now to be current cost estimates for the current environment in which we’re operating in.
Noel Parks: Okay. And just I guess I’m thinking a little bit more in terms of as you look down the road, and your economics, as, I guess as you negotiating for future projects just whether you’re in a position that you would be able to sort of incorporate any inflation you’ve had to date, do you expect you’d have any trouble passing that along in terms of your pricing to customers?
Jason Few: Yes, so from a overall pricing rate, when you think about the way in which we go-to-market, if I just broadly talk about the two ways, one is under, power purchase agreements. The other is when we’re actually just selling the platform. In both of those cases, we look at the real cost that we have, when we deploy those assets and we incorporate that into our pricing decisions. I think some of the things that will help us deal with that and help customers deal with that is as we take advantage of things like the IRA, we take advantage of the existing ITC that allows for some offsetting costs, which helps us continue to remain competitive relative to other alternatives.
Noel Parks: Great.
Michael Lisowski: Noel, the other thing that I would add to Jason’s remarks is that while we continue to thoughtfully deploy capital and increase our capacity and expand our capacity, we’re squarely focused on continuous improvement and operational efficiencies. So, as we continue to grow, as we continue to expand things like reduction in elimination of our bottlenecks, improvement of our yields, overall process efficiencies is really a key area of focus for our business, and we expect to continue to see reduction in costs as we continue to grow and scale up capacity.
Noel Parks: Great. Thanks. And I do just want to ask about the Exxon JDA and the R&D budget increase. And I’m just curious the $10 million increase, is that related just to sort of the ongoing duration of the project? Or I was wondering those earmarked for anything in particular personnel or accelerating timing equipment?
Mike Bishop: Hi Joel [ph], this is Mike. So no, the $10 million is related to the extension of time on the contract. That contract will run through the summer. So that was essentially the reason for that change.
Noel Parks: Great. Thanks a lot.
Operator: And that does conclude today’s question-and-answer session. I’ll now turn the call back over to Jason Few for any additional or closing remarks.
Jason Few: David, thank you very much for that. And I want to thank everyone for joining us today. We will continue to execute on our Powerhouse business strategy, working to deliver growth and optimize returns. The FuelCell Energy team is excited about the momentum we are building as we deliver on our purpose of enabling a world empowered by clean energy. And we look forward to updating you again next quarter. Thank you for joining and have a great day.
Operator: This concludes today’s conference call. You may now disconnect.